Operator: Good morning, ladies and gentlemen. Welcome to the Sabre First Quarter 2023 Earnings Conference Call. My name is Olivia, and I'll be your operator. As a reminder, please note today's call is being recorded. I will now turn the call over to the Senior Director of Investor Relations, Brian Roberts. Please go ahead, sir.
Brian Roberts: Thank you, Olivia, and good morning, everyone. Welcome to Sabre's First Quarter 2023 Earnings Call. This morning, we issued an earnings press release, which is available on our website at investors.sabre.com. A slide presentation which accompanies today's prepared remarks is also available during this call on the Sabre Investor Relations web page. A replay of today's call will be available on our website later this morning. We advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including the effects of COVID-19, industry and recovery trends, benefits from our technology transformation and commercial and strategic arrangements, financing and related transactions, our financial outlook and targets, expected revenue, adjusted EBITDA, free cash flow, costs and expenses, cost savings and reductions, margins and liquidity, among others. All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today's conference call. More information on these risks and uncertainties is contained in our earnings release issued this morning and our SEC filings, including our first quarter 2023 Form 10-Q. Throughout today's call, we will also be presenting certain non-GAAP financial measures. References during today's call to adjusted operating income, adjusted net income, adjusted EBITDA, adjusted EBITDA margin, adjusted EPS and free cash flow have been adjusted to exclude certain items. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on our website at investors.sabre.com. Participating with me are Kurt Ekert, our President and CEO; and Mike Randolfi, our Chief Financial Officer. Scott Wilson, EVP and President of Hospitality Solutions, will be available for Q&A after the prepared remarks. With that, I will turn the call over to Kurt.
Kurt Ekert: Thanks, Brian. Good morning, everyone, and thank you for joining us. I'm excited to be here today as Sabre's new CEO. I joined the company 16 months ago because I believe there are tremendous opportunities for Sabre to address the evolving demands of the travel marketplace. We operate in a dynamically changing and huge industry, where customers demand modern technologies that deliver innovation at pace and scale. With that comes a significant opportunity to grow our business. On today's call, Mike and I will be sharing strategic plans, designed to reposition Sabre's business for long-term profitable growth, to lean into new revenue opportunities while continuing to cultivate our core business and to structurally reduce our cost base. We believe these strategic priorities put us on a durable path to achieve our 2023 financial expectations and our 2025 targets. And we are committed to delivering growth and value to our customers and shareholders. Before jumping into the details of today's call, let's walk through the agenda. On Slide 4, you can see an overview of the topics that Mike and I will cover. I will start by outlining four key strategic priorities. Next, I'll explain the exciting growth opportunities that lie ahead for Sabre. And then I will discuss how we expect our technology transformation will create improved efficiency, enhance our value propositions and enable the development of differentiated product offerings. Finally, Mike will take you through the financial results for first quarter, outline in more detail our plans to reduce costs and realign resources to support Sabre's growth opportunities and provide our financial outlook for 2023 and 2025. Turning to Slide 5. To build on my opening remarks, let me take a moment to describe four key strategic priorities that form the foundation of our long-term direction for the company. First, generating free -- positive free cash flow and delevering the balance sheet are our most important financial objectives. As Mike will detail in a moment, we believe we have a durable path to achieve our 2023 expectations and to generate over $500 million in free cash flow in 2025. Second, we will continue to focus on execution and delivering sustainable growth in our core businesses over the long-term. For example, we are gaining share of industry air bookings, capturing increased volumes from our existing customers and partners and intend to continue to build momentum. Third, we have to continue to drive innovation and enhance our value propositions with both existing and new customers. The future of travel demands a different set of capabilities, and we plan to deliver the merchandising and retailing tools of tomorrow to capitalize on the opportunities in this changing marketplace. We are outlining today growth initiatives that we believe will do just that and I'll share these in a moment. Fourth, we plan to reduce our cost base and reposition our resources towards specific opportunities for future growth. We will go into detail shortly, but with the actions we are announcing today, we expect to reduce costs by $100 million in 2023 and an estimated annualized $200 million in 2024. We believe these actions solidify our path to our free cash flow and adjusted EBITDA objectives. Now let me go into each of these priorities in more detail, explaining how they will help us -- help put us on a durable path to our 2025 targets. Turning to Slide 6. As I stated previously, generating positive free cash flow and delevering the balance sheet are our most important financial objectives. This slide outlines the milestones we believe will enable us to accomplish these objectives to the benefit of Sabre stakeholders. First, we expect to be free cash flow positive in 2023, excluding restructuring costs. And in a few minutes, Mike will walk you through the specific actions we are taking to achieve that outcome. Second, we are targeting over $500 million in free cash flow in 2025, and we believe that we will be on a path as we exit 2025 to achieve our leverage target of 2.5 to 3.5 times. Before I go any further, I'd like to discuss our outlook for travel volumes. Today, we see historically high airfares, elevated load factors and significant efforts by carriers to add capacity. Furthermore, IATA capacity forecasts indicate strong growth in the upcoming years. We expect this to be further bolstered as international markets, specifically Asia Pacific, continue to gain traction. Given these dynamics, we are optimistic about long growth trends. Over the past year, we have seen a range of growth rates in the GDS marketplace. Some quarters have experienced sequential quarterly improvements in the double-digits, while others, including the most recent couple of quarters, saw growth only in the low single-digits. What we will show you here today is that even under a conservative industry volume scenario, we believe we have a durable path to achieve our financial targets that is almost exclusively driven by factors under our own control. If the industry demonstrates a stronger rate of growth than what we have seen in the most recent quarters, as we believe is very possible, given the operating leverage we are building, we believe we will have meaningful upside to the 2023 and 2025 targets we are outlining here today. Now let's turn to Slide 7. Moving on to the second of our key strategic priorities, which is to drive sustainable growth in our core businesses. As you can see from this table, our share of GDS industry bookings increased year-on-year in Q1 2023, both including and excluding volumes associated with Expedia. Importantly, after removing Expedia volumes, Sabre was a larger proportion of industry air bookings in Q1 2023 than in the first quarter of 2019 and 2022. Please turn to Slide 8. This table further highlights the success we have experienced delivering sustainable growth with our existing core customer base. The chart depicts industry bookings with the largest 25 agencies in the world, excluding Expedia, and based on MIDT information which is the GDS industry standard. As depicted by the green arrows in the chart, Sabre has grown with nearly three quarters of the largest agencies year-to-date versus the most recent trailing quarter. We are confident that we will continue to realize sequential gains based on known contract wins and renewals and upcoming opportunities within our commercial pipeline. Turning to Slide 9. Moving to the third of our key strategic priorities, which is to drive innovation and enhance Sabre's value propositions with new and existing customers. On this slide, we've outlined specific growth strategies to drive incremental revenue by building and delivering new value to our existing customers. Many of these initiatives are close to our core capabilities but enable us to grow our revenue by growing our share of wallet with existing customers, building and delivering new value with both existing and new customers that capitalizes on revenue opportunities that exist in our changing travel ecosystem, and expanding our existing offerings into new and underpenetrated geographies or marketplace segments. Across our Travel Solutions business segment, we have a number of key strategic growth areas. Our GDS expansion strategy consists of targeted product innovation as well as people and service investments to drive growth in specific geographies and marketplace segments. We have consistently won with many of the largest travel agencies and buyers, and we believe this initiative will continue to support above-market growth with this important customer segment. In support of this strategy, we recently announced a new distribution agreement with Air India, which has not been in the Sabre GDS. In the first quarter of 2023, India had the second highest number of GDS bookings among all countries in the world, and Air India ranked in the top 10 of global carrier GDS bookings. As of today, this content is live in our system. Our multisource content platform strategy, of which new distribution capability, or NDC, is an essential component is designed to grow our business by efficiently increasing access to all relevant air content and creating a true marketplace for sellers and buyers. We believe Sabre is uniquely positioned to solve the ecosystem challenge of providing a unified technology solution for all key industry participants that brings together both EDIFACT and NDC content. This unified functionality is an essential part of our multisource content platform strategy and is needed to efficiently handle the complexity that integrating NDC and EDIFACT brings to buyers. Importantly, we achieved several NDC milestones during the quarter and continue to make very good progress. While NDC volumes are still very small for the industry and Sabre, our NDC offering is gaining traction and carriers, and we have recently successfully launched NDC with American, United and Finnair. Next, we see significant opportunity to grow an existing capability to become the premier lodging platform for our agency customers for business-to-business travel. We intend to do this by further developing and extending our content lodging services platform. The core of this initiative is centered around the dynamic consumption and distribution of accommodation content, supported by intelligent display and retailing. This opportunity is highly complementary to our air distribution offerings and existing hotelier and buyer customer relationships. We believe that the airline IT industry is at a pivot point, moving to intelligent offer creation and multisource order creation and delivery. We plan to grow our L&AT [ph] business over time by enhancing our Airline Solutions product offerings to both existing and new airline customers with best-in-class intelligent retailing solutions built on a modular platform with order and offer technology at the core. These offerings are designed to help our airline customers optimize and diversify their revenue streams and enable them to build more personalized experiences for travelers, which we expect will lead to higher conversion and revenue growth. In our Hospitality Solutions business, we expect double-digit annual growth in revenue and to achieve double-digit adjusted EBITDA margins as we exit 2024. We have a rich pipeline in Hospitality Solutions and see revenue growth coming from new customer wins, property additions and from our intelligent retail offering, which includes Retail Studio and Nuvola. Importantly, as our platform expands to include additional properties, our opportunity to upsell our hospitality customers on our powerful suite of intelligent retailing solutions will grow. As we shared last quarter, we expect this business to be roughly breakeven on a fully allocated basis in 2023 and again to be a meaningful EBITDA contributor in the years ahead. Last, we are excited to be stepping into the payment space, which presents a relatively new revenue growth opportunity that also benefits from the customer relationships in our Travel Solutions and Hospitality businesses. We believe the long-term opportunity for growth in the travel payment space is very large. And with our acquisition of Conferma, coupled with Sabre and Conferma's strategic relationship with Mastercard, we are positioned competitively to become a leader in the virtual payments marketplace in the coming years. We now have the capability to digitize payments in B2B travel, which not only streamlines customers' access to multiple suppliers with increased security but also optimizes cash flow. We recently hired a fantastic leader and industry expert in the payments space to run the Conferma business. As a whole, these growth strategies are an important part of how we plan to grow Sabre's business over time. We must continue to innovate to capitalize on the fast-changing travel ecosystem and enhance our value propositions to both new and existing customers. Now turning to Slide 10. Our technology transformation is a key enabler to bring innovation and new capabilities to our customers at pace. Benefits we are realizing already include faster speed to market, enhanced stability and security, reduced latency and more seamless software deployments. Our innovation partnership with Google also provides great promise. And a few anecdotal examples of this include having Google's AI and ML capabilities embedded in our new Ancillary IQ product and our recent partnership on some key commercial pursuits. Turning to our recent achievements. As of the end of the first quarter, we had successfully migrated 69% of our total compute capacity to Google Cloud. With the move to Google Cloud, our unit cost of compute capacity is about 35% of what it was prior to our transformation efforts. Now that we have exited the last of our Sabre managed data centers, our major tech transformation goal for 2023 is to migrate our legacy midrange server environment in Tulsa to Google Cloud. We are on track to achieve that goal, and in the first quarter, we made good progress by migrating more than 400 servers, more than 70 external network connections and more than 50% of our customer-facing web services traffic into the cloud. As we have articulated previously, the cost savings from our tech transformation will provide significant operating leverage to our financial performance, and we expect to fully realize this benefit as we exit 2024. Turning to Slide 11. Today, we are announcing a resource realignment to improve our organizational structure, meaningfully reduce costs and achieve greater efficiency. We expect these actions to deliver $100 million in cost savings in the second half of 2023 and an additional $100 million in savings in 2024 for a combined $200 million in annualized cost reductions. As a meaningful part of these actions, we expect to reduce our total employee and contractor base by about 15%, most of which we expect will occur by the end of the second quarter. As a new CEO, it pains me to take these steps especially so early in my time in the role. I do not take this decision lightly, especially given the immense respect that I have for all of my Sabre colleagues around the world. However, I am confident that these actions will better position us for the future and put us on a direct path to achieving our financial and strategic targets. Importantly, I want to emphasize that we will continue to invest heavily in our technology transformation and the key growth strategies I have outlined today and in meeting our commitments to our customers. Sabre has and will continue to compete aggressively and successfully to deliver industry-leading products and services. I will now hand the call over to Mike to walk you through our first quarter performance and longer-term financial plan and targets.
Mike Randolfi: Thanks, Kurt, and good morning, everyone. Please turn to Slide 12. Before I get into the first quarter results, I want to add additional context about how we're approaching 2023 and the path to our long-term targets. As Kurt noted, we're focused on driving innovation, enhancing Sabre's value to our customers and aligning resources toward our growth initiatives. We are optimistic about travel volume growth in the coming years, but we believe we have a durable path to achieve our financial objectives even under a more conservative industry growth scenario. We are proceeding with the path to our 2023 expectations and 2025 targets that is largely based on a set of actions that we have line-of-sight to and believe we can execute upon. Only a small portion of 2023's adjusted EBITDA improvement and the build toward 2025's adjusted EBITDA targets are driven by industry volume increases. If the industry recovery accelerates, which we believe is very possible, given the operating leverage we are building, this would drive meaningful upside to our 2023 and 2025 targets. While our emphasis is on growing revenue and our build to 2025, approximately half of the incremental adjusted EBITDA or approximately $300 million is driven by our focus on cost efficiency and benefits from our tech transformation. From our resource realignment and cost efficiency efforts, we expect to generate $100 million of expense savings in the second half of 2023 and $200 million of expense reduction annually in 2024. Now referring to the slide. As you can see from the table on the left, we exceeded our expectations for the first quarter revenue and adjusted EBITDA. Free cash flow was essentially in line with our expectations. The table on the right highlights the solid growth that we saw in the first quarter in overall bookings. First quarter distribution bookings were up 49% from Q1 2022 as Sabre's volumes grew faster than the industry overall. Turning to Slide 13. Total Q1 revenue was $743 million, an increase of $158 million or 27% versus last year. Distribution revenue totaled $526 million, a $183 million or 53% increase compared to $343 million in Q1 2022. Our distribution bookings totaled $97 million in the quarter, a 49% increase compared to $65 million in Q1 2022. Our average booking fee was $5.44 in the first quarter, up 3% from the first quarter 2022. We continue to see favorable mix into more profitable regions and type of travel, resulting in higher booking fees, and we believe this trend is likely to continue in 2023. IT Solutions revenue totaled $152 million in the quarter. This was a $40 million decline versus revenue of $191 million in the comparable prior year period. Passengers boarded totaled $165 million, a 28% improvement from $129 million in Q1 2022. First quarter revenue growth from passengers boarded and other IT Solutions business was more than offset by the impact of Sabre no longer having Air Center revenue, which contributed approximately $36 million in Q1 of last year and lower revenue from our airline IT business in Russia, which also had a $37 million impact. Hospitality Solutions revenue totaled $74 million, an $18 million or 32% improvement versus revenue of $56 million in Q1 2022. Central reservation system transactions totaled $28 million in the quarter and were 20% above $23 million in Q1 2022. The average rate per transaction added approximately 12 points to revenue growth, driven by ancillary revenue streams and a favorable mix shift. Adjusted EBITDA of $58 million was better year-over-year as compared to the $5 million in Q1 2022. Free cash flow was negative $91 million in the first quarter, essentially in line with our expectations. We ended the first quarter with a cash balance of $838 million. Moving to Slide 14 to discuss our guidance. We expect second quarter 2023 revenue of approximately $700 million, adjusted EBITDA of approximately $45 million and negative free cash flow of between $60 million and $80 million, inclusive of restructuring charges. If you exclude the restructuring charges, we would expect negative free cash flow of between $40 million and $50 million. As a reminder, pursuant to our sale of AirCentre, we are required to pay down debt with any uninvested proceeds from that sale by May 24, 2023. Currently, we expect that amount to not exceed $80 million. For the second half of 2023, we expect revenue of approximately $1.4 billion, adjusted EBITDA of between $200 million and $220 million and positive free cash flow in both the third and fourth quarters. For the full year 2023, we continue to expect revenue between $2.8 billion and $3 billion and adjusted EBITDA between $300 million and $320 million, and we expect to be free cash flow positive for the full year 2023, excluding the impact of restructuring. Moving to Slide 15. As Kurt mentioned earlier, our resource realignment and cost reduction plan is expected to deliver $100 million in savings in 2023. This plan includes a workforce reduction of approximately 15% that we expect will largely occur before the end of the second quarter. These cost savings will include a streamlining of spans and layers in our management and employee base, an improved and more efficient organization design that supports our growth initiatives and an evaluation of our geographic and real estate footprints. At the same time, we are prioritizing investments toward our strategic growth initiatives. We expect the annualized benefit of these actions taken in 2023 to be $200 million in 2024. Moving to Slide 16. This chart provides the path for how we expect to achieve our 2023 adjusted EBITDA guidance. For the first half of 2023, based on the guidance we have provided today, we expect to generate approximately $103 million. Prior to taking into account other earnings drivers, if we take the first half adjusted EBITDA and apply historical seasonality, that would imply expected second half adjusted EBITDA of approximately $85 million. This would be the adjusted EBITDA build, prior to taking into account cost reductions, benefits from our strategic initiatives and industry volume growth. Building upon the first half and second half seasonally adjusted EBITDA, are the cost actions that we have announced today that we expect will generate $100 million of benefit in the second half of 2023. Additionally, we believe our strategic growth initiatives outlined earlier can contribute approximately $20 million this year. Also, as noted in my earlier remarks, industry volume growth is a small component of our build to 2023 adjusted EBITDA and represents only $10 million of expected benefit for the remainder of this calendar year. We believe this approach creates a durable path toward our expectations for 2023 adjusted EBITDA of $300 million to $320 million based on a sequential industry volume growth rate of 1.5 points per quarter in the third and fourth quarters. Should the growth rate be higher, that will be upside to our expectations. For example, as noted on the slide, if the sequential growth rate is closer to 4.5 points in the second half of 2023, that would add an additional $30 million to adjusted EBITDA and free cash flow this year. Moving to slide 17. Now, we walk you through how we plan to generate positive free cash flow, excluding restructuring costs in 2023. As you can see from the table, we expect sources of cash in 2023 to be between $450 million and $470 million. The working capital initiatives that we discussed in our February earnings call are currently underway, and we still expect to drive $150 million in positive working capital benefits this year. Our cash interest is still expected to be approximately $390 million in 2023. We also expect 2023 capital expenditures of about $50 million. To highlight, we believe we've developed a durable path to generate positive free cash flow in 2023, excluding restructuring, relying less on industry volume growth, and to a much greater extent, on actions that we have line of sight to and that we could execute upon. While we believe that a faster recovery remains a strong possibility, we have made the decision to rely less on external industry factors to achieve our expectations and have derisked our 2023 performance by taking more of the end result under our own control through cost reductions. Moving to slide 18. Now, I will walk you through how we expect our 2023 adjusted EBITDA to build toward our 2025 target of greater than $900 million. We remain confident in Sabre's ability to generate this level of adjusted EBITDA in 2025, but we've now developed a different path towards this target, one that includes lower expenses and additional efficiency gains versus the prior path, which assumed a stronger industry recovery. We now expect the combined cost savings from our technology transformation and the resource realignment announced today to drive approximately $300 million by 2025. It's important to note, that about half of our expected improvement in adjusted EBITDA from 2023 to 2025 is driven by lower costs, which are under our control. We expect our strategic growth initiatives highlighted earlier on today's call to generate approximately $150 million. We expect this $150 million contribution to be driven roughly equally by the following three areas; first, Hospitality Solutions revenue growing at double digits and achieving double-digit margins by the end of 2024. Second, our GDS expansion strategy continuing to drive above-market growth from increases in share of wallet and competitive wins. And finally, growth from our payments and airline retailing initiatives. Moving to volume growth, while we remain optimistic about the future trajectory of travel volumes, we are now relying less on the contribution from overall industry volume gains. Our underlying assumption, which we believe is conservative with respect to the targets we are articulating today, is that industry volumes improve approximately 1.5 points per quarter between now and 2025, averaging about a 75% recovery for the full year 2025 and supporting approximately $150 million of P&L improvement. As we've noted previously, based on indicators from our airline partners, we are optimistic about the future increases in airline industry volumes. Should industry volumes increase at a faster pace and reach closer to pre-pandemic levels, that would provide meaningful upside to these targets we are presenting today. To help quantify this with the cost structure we are developing, each point of additional volume growth is worth approximately $12 million of adjusted EBITDA, which will flow directly down to free cash flow. Assuming a full recovery would imply up to $300 million of potential upside to our 2025 targets. Collectively, we believe we have developed a durable path toward our 2025 target of $900 million in adjusted EBITDA. Moving to slide 19. We believe achieving greater than $900 million in 2025 adjusted EBITDA would establish the base to generate greater than $500 million of free cash flow in 2025. Assuming a similar interest rate environment as today, we expect 2025 cash interest to be less than $350 million. We expect capital expenditures to be between $50 million and $60 million. Collectively, with this level of adjusted EBITDA, cash interest and capital expenditures, we expect to generate greater than $500 million of free cash flow in 2025. Importantly, this will allow Sabre to meaningfully de-lever the balance sheet. Moving to slide 20. This slide outlines how we intend to de-lever our balance sheet and highlight meaningful progress toward that path by 2025 with the target subsequently achieving our two and a half to three and a half times net debt to adjusted EBITDA levels. As of the end of the first quarter of 2023, our net debt balance was $4.1 billion. Based upon our free cash flow targets, we expect to be able to reduce our net debt balance to be between $3.4 billion and $3.5 billion by the end of 2025. We expect that balance to decline further thereafter as we generate free cash flow and work to reduce debt. With generating greater than $900 million of adjusted EBITDA in 2025, we believe by 2025, our net debt to adjusted EBITDA will approach 3.75x, and we expect to be on a path to reach our target leverage of 2.5 to 3.5 times. And with that, I'll hand it back to Kurt.
Kurt Ekert: Thank you, Mike. Before opening the line for your questions, I will provide a few closing remarks. First, we have shared a lot of information with you today about our 2023 expectations, 2025 targets and our durable path to these outcomes. I am confident we have the plans and the leadership in place to help us achieve our goals, and I look forward to keeping you updated on our progress. Second, I extend my deep appreciation to Sean Menke for his many years of service at Sabre. We are thankful for his steadfast leadership, especially during unprecedented times and look forward to continuing to partner with him in his capacity as Chair of our Board. I know I speak for the entire Sabre team when I say thank you, Sean. With that, operator, please open the line for questions.
Operator: [Operator Instructions] And our first question is coming from the line of Josh Baer with Morgan Stanley. Your line is open.
Josh Baer: Great. Thanks for the question. And I appreciate all the detail on the slides. I was hoping you could talk a little bit more about the new or the strategic growth initiatives, and really wondering the confidence in the $150 million contribution to EBITDA in the 2025 targets. Just thinking through the three buckets that you mentioned, some rely on some competitive wins and growth initiatives. Like wondering the margin profile there, too, if that's kind of implying like an incremental $1 billion-plus revenue opportunity from that strategic growth.
Kurt Ekert: Josh, thank you. This is Kurt. I appreciate the question. First of all, as we look at the strategic growth -- the growth strategies that we've articulated today, it's important to note that they're all relatively close to our core business. Payments is the most far field. We've hired a payments expert to lead that business. We have the relationship with Mastercard. And that strategy will leverage actually the existing relationships we have both in the TS and HS businesses. As you look at the growth strategies, GDS market expansion, to your point, is a very high-margin business. Obviously, there is a cost of revenue there as there is in that part of our business. But we expect great operating leverage with GDS expansion because it requires some additional feet on the street, some additional product investment. But once you win either greater share of wallet or you convert new customers, that business has a great flow-through. As you look at each of the other strategies, there is an investment required to initiate or drive that growth, but they all come with very high operating leverage and very high unit margin because we're not building anything from scratch. For example, if you look at hotel distribution as an opportunity or you look at payments as an opportunity, by extending them and selling them into existing clientele, we're effectively putting more product on the shelf. And we don't need to replicate a lot of the infrastructure that we already have. So our expectation is that overall, the growth strategies actually will come with a higher unit margin than our existing or incumbent business.
Josh Baer: Thanks. That's really helpful. Second question on NDC. Just wondering, in your 2025 targets, is there any context for what assumption you're making as far as the mix of NDC? And as a follow-up, like what happens to your economics when you facilitate NDC bookings versus traditional?
A – Kurt Ekert: Thanks, Josh. It's important to note that today, NDC as a percentage of intermediary airline distribution, is low single-digits overall for the industry as well as for Sabre. As we look forward to 2025, we certainly do expect that NDC will gain additional traction and we have NDC maturing as an expectation within our 2025 target profile. I can tell you that commercially, there is no one size fits all for NDC. We've negotiated now a number of different agreements. We're in negotiation for a number of others. And so what I can tell you is that looking at what we project as the adoption curve, coupled with the financial profile, inclusive of NDC as well as the growth strategies we've articulated, we are confident that you'll see Sabre realize unit margin accretion in the quarters and the years ahead.
Josh Baer: Okay. Great. Thanks. I’ll hop back in the queue.
Operator: Thank you. And our next question coming from the line of Jed Kelly with Oppenheimer. Your line is open.
Q – Jed Kelly: Hey, great. Thanks for taking my question. Just looking at the updated longer-term targets, the right way to think about it is it's $900 million of EBITDA with bookings at 75% recovered versus, I guess, the prior guidance that was $900 million of EBITDA at the low-end with 80% bookings. Is that correct?
A – Mike Randolfi: Yeah. That's the right way to think about it.
Q – Jed Kelly: Okay, great. And then just two questions. I mean, I know you might not be prude. Can you kind of give us a path to what 2024 looks like? Are we going to have to assume a pretty material step-up in 2024 to get to 2025? And then historically, I know it was under previous management, but I think this is a company that, I count 3x since like 2015, has given medium-term guidance, and it's never hit its profitability guidance on something that came up. So is there any contracts or potential issues that could come up that we should be thinking about that would cause you not to hit this guidance?
A – Kurt Ekert: Jed, this is Kurt. Thank you. Let me start and I'll hand it over to Mike to go into more detail. With respect to the confidence that we have and the targets that we have provided today, the way we want you to think about this is not that we have a pessimistic view on the rate of market growth that we're going to see going forward. We felt that there was some skepticism about our ability to achieve those targets. What we have provided you is a path where the 2023 number we've articulated and the 2025 number we've articulated, the vast majority of the step from here to there is within our control. It's the cost actions we're taking, it's the benefits of technology transformation. It's the assumption of a modest market growth of only 1.5 points per quarter sequentially, which given that the industry is still much, much smaller than it was in 2019, we think, is a very conservative assumption and then a realistic view on the opportunity to capitalize on the growth strategies ahead of us. So we have a very high degree of confidence in our ability to deliver these numbers. What we also showed you is that should the market grow at a faster rate of growth, which we actually believe is a probable outcome, there's upside to the targets we provided today, but we wanted you to -- we wanted the targets that we provide to be as hardwired as possible, as durable as possible as Mike articulated. So we feel very good about the path forward and our ability to achieve the numbers we've articulated today.
Mike Randolfi: Yeah. And so as I think about what are some of the pieces that will bridge from 2023 to 2024, and we're not providing specific 2024 guidance on this call today, but I'll walk you through some pieces that hopefully help. So as you think through the cost actions that we are taking and announcing here today, that we expect to generate $100 million in year in 2023. The annualization of that will generate another $100 million next year, so that would drive a step-up in EBITDA improvement. The other piece that I would think about is on our tech transformation. We continue to make meaningful progress. As we've talked about, our bubble costs at the inception, we had indicated that it would -- the total cost -- a bubble cost would be, give or take $400 million. As you look from 2023 to 2024, we do expect some decline in bubble costs to the tune of going from about $100 million to closer to $75 million in 2024. And at the same time, we're going to have a much -- a substantial portion of our hosting volume on Google Cloud. And when you look at the cost of the hosting volume on Google Cloud, it's running about 35% of what it costs to support those volumes pre-tech transformation. So we expect to continue to get benefit there. At the same time, we are continuing to see industry volumes increase separate from our own actions. And so we would expect a benefit from industry volume growth. But more importantly, as Kurt has mentioned and emphasized, within our strategic growth initiatives, we would expect those to continue to be meaningful contributors from 2023 to 2024. And that comes from things such as Hospitality Solutions, growth in our GDS business, continued growth in payments. So we would see a meaning -- we would see and expect to see a meaningful step-up from 2023 to 2024, but we're not providing specifics at this time.
Jed Kelly: Got it. And then just overall on the industry, I think capacity this year is probably down, call it, like mid-single digits versus where it was 2019. And there's obviously the distribution bookings are lagging. Is that being entirely driven by just business travel, or I guess, is there anything that could happen in terms of capacity or business travel that could cause the third-party distribution bookings to accelerate or get closer back to 2019 levels, or is there something structural that's allowing the airlines just to control a lot more of that direct traffic? Thank you.
Kurt Ekert: Yeah. What you've seen -- great question, Jed. What you see to date is the portion of the industry that has recovered or grown most quickly is domestic point-to-point leisure type travel. And that's effectively fully recovered in North America, for example, a little bit slower in some other parts of the world. Where there has been a lag and what constitutes such a significant portion of the GDS part of the industry, is, number one, corporate travel; number two is long-haul international. Corporate travel is recovered. If you look at TMC and corporate, about 80% of where it was in 2019. International long haul is south of that number. And so Asia Pacific still has not fully recovered based on the slowness in China, et cetera. And so what we expect going forward is as the industry grows, capacity continues to come back. We believe the opportunity for corporate travel and international long haul to grow at a faster rate than direct distribution should support above-market growth in the GDS sector. We do not believe that there's been anything structural that has changed, with the exception of those portions I articulated, have recovered relatively more slowly, again, than leisure domestic point-to-point.
Mike Randolfi: Yeah. And I think it's important, as we look at what prospective volumes could be, to really look at our airline partners because ultimately, they provide really good signals as to what the direction can and may be. And so for example, if we look at the airline industry today, what we're seeing is historically high airfares that are generally running 20% to 30% above pre-pandemic levels. And at the same time, despite those high airfares, we're seeing record high load factors on planes. And you're hearing the airlines talk about record revenue quarters, and you're hearing our airline partners talk about their desire to significantly add capacity. Now in the short run, capacity has been constrained in the airline space. One, there's been difficulty on the labor side, primarily simply by training pilots quickly enough and identifying and hiring pilots. There were a good wave of retirements during the pandemic. And with the resumption of growth, airlines have been working through that. That's probably going to take them time. At the same time, on the aircraft side, Boeing and Airbus had slowed production during the pandemic and airlines have set down a lot of planes. Now, they're working to both bring those planes back and working with their airline manufacturers to bring on and accelerate deliveries as best they can. But capacity has been constrained on the airline side in a significant way and airlines are working through those capacity constraints. And they're signaling that they're going to be able to add strong capacity in coming quarters. And so that gives us optimism in terms of overall volume growth as we would expect a good portion of that to accrue to the GDSs.
Kurt Ekert: Yeah. And I'll just say, I hope and expect that the rate of GDS marketplace growth is on the higher end of what we provided today, so it's within that dotted line additional opportunity. We believe the hard line we have provided is the very low or conservative end of what may happen.
Jed Kelly: Thank you.
Operator: Thank you. And our next question coming from the line of Dan Wasiolek with Morningstar. Your line is open.
Dan Wasiolek: Good morning, guys. Thanks for taking my question. I guess just one here. What are you guys hearing from corporations on their travel budgets and plans for the second quarter and I guess the rest of 2023 in the current macro environment? And has there been any shift, I guess, to those budgets and plans versus maybe three months ago? Thanks.
Kurt Ekert: Thank you. Again, we've seen corporate travel overall is trading at about 80% of where it was pre-pandemic today. We're seeing corporate travel grow on a quarterly basis, similar to the other trend lines I've indicated, which is 1% to 2% quarter-on-quarter seasonally adjusted, and that's been the trend for the past few quarters. We did see that pick up a bit in January and then the growth rate leveled off a bit. So what we're hearing in this is a series of anecdotes rather than hard data is that people are getting back on the road. External travel is happening en masse. Meetings and events are back to normal. And actually, the amount of internal corporate travel is probably greater, given the work-from-anywhere dynamic in many corporations. I know there was a question last quarter, and there's a theme of well, there are layoffs in certain sectors, for example, tech. Will that impinge travel? If you use employment as a proxy and you look at the size of the tech firms, most of them actually grew their employment dramatically from 2019 to 2022. And even with the reductions that they've put in, they still have many more employees today than they did back in 2019, presuming that they still are engaged in commerce and seeing each other. We're actually quite bullish on the long-term trends for the corporate travel sector. So, overall, I think we hear good signs. Again, we're not going to prognosticate whether the rate of growth is going to continue to be 1% to 2% or accelerate to be 4% per quarter, for example. But we believe there's a lot of growth upside in corporate travel for the long term.
Dan Wasiolek: Okay. Thanks for that added color.
Operator: Thank you. [Operator Instructions] And our next question coming from the line of Victor Cheng with Bank of America. Your line is open.
Victor Cheng: Good morning. Thanks for taking my question. A couple, if I may. Maybe, first of all, on slide eight where you show share gains with the top 25 agencies. How much of that is driven by faster recovery from -- due to Sabre's mix, maybe be it by region or by corporate versus leisure? And maybe if you can provide us some more color on what you're seeing in Q2 bookings year-to-date? And then, I have some more follow-ups.
Kurt Ekert: Victor, thank you. This is Kurt. On share gains, what we're seeing is a combination of improved share of wallet with our existing clientele, as well as the conversion of new wins. And so, there's a good degree of that, which is the improvement in same-store sales. What I can tell you is that we're seeing that performance pretty universally, both geographically and by market segment. In Q2, what we've seen is a similar trend to what we saw in the first quarter, which is GDS market growth up between 1% and 2% over Q1, which is a similar trend to what we've seen in the past two quarters.
Victor Cheng: Thank you. That's very clear. And maybe two more on NDC. I know you've talked about NDC unit economics earlier. But overall, what we're hearing is, I know, it doesn't one -- there is no one size fits all, but overall, what we're hearing is NDC booking fees are generally lower when we compare to the EDIFACT channels. I'm not sure if you can provide some more color on that. And then, can you talk a bit specifically about maybe the American move to NDC in Q2? Should we expect some impact from there?
Kurt Ekert: Thanks, Victor. First of all, on economics for NDC, as I've stated here and previously, the economics are discrete carrier by carrier. There is no one size fits all. We have agreements where the economics are neutral between EDIFACT and NDC and where they're different between EDIFACT and NDC. As I indicated earlier, with the increased adoption, we do expect in forward years of NDC, coupled with the growth strategies we've articulated, we expect to be unit margin positive in the future. With respect to American, we successfully launched NDC with American in early April. It was a big accomplishment for the both of us. And I would tell you that, American views it as a very successful launch, just driven by their public and their private comments. And the relationship between American and Sabre has never been in a better place.
Operator: Thank you. And our next question coming from the line of Alex Irving with Bernstein. Your line is open.
Alex Irving: Hi, good morning gentlemen. Two if I may, please. First, on the cost restructuring. Could you please provide some detail on which functions you're planning to reduce spending on and how we can gain confidence that, that won't impair the ability of the business to compete? My second question is a follow-up on the last question regarding the booking flow following the partial content withdrawal from EDIFACT by American in Q2. How do your own bookings look with American sort of quarter to date, please, if you can share that? Thanks.
Kurt Ekert: Yes. Let me take a bit of this and then give it to Mike. On the restructuring question, first of all, I want to share, we're very proud of the history of Sabre and who we've been and what we've done in the marketplace. What we did is as we sat down as a management team is, we look forward at where the business is today, the state of the marketplace and what we believe the opportunities are to bring value to our customers and new customers around the world. And so what we've done is design the organization and the resource pool against that set of opportunities that we see in front of us. So with that, let me let Mike talk in a bit more detail about what we're doing there.
Mike Randolfi: Sure. So as we approached our resource realignment, there's a couple of things that we prioritized within that to really drive our business going forward. So first, ensuring that we are resourcing in the very best way possible, our tech transformation; second, ensuring and supporting the growth initiatives that we've outlined today; and third, supporting our customer commitments. Now with that, as we looked at the rest of the organization, with those areas really being areas of focus, we went through our org and looked at what is the right org design for what we want as we move forward? We evaluated things like spans and layers and how much resources we're applying to various aspects of our business. We evaluated our real estate footprint. And so, all of those were targeted to really develop a lower fixed cost structure that is more efficient, but at the same time, focusing the resources we have on that, which is going to drive revenue, that which is going to drive EBITDA and ultimately growth for our business.
Kurt Ekert: And with respect to American NDC, let me reiterate, without speaking about the details of any specific customer, NDC remains a low single-digit percentage of airline intermediary bookings. That's true for the industry as well as for Sabre. We've had a very successful launch with American, and we've seen nothing structural change in the nature of the marketplace with that or other NDC launches.
Operator: Thank you. I'm seeing no further questions in queue at this time. I will now turn the call back over to Mr. Ekert for any closing remarks.
Kurt Ekert: Thank you, again for joining us this morning. We appreciate all of your interest in Sabre and look forward to speaking with you again soon. That completes today's call.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.